Operator: Welcome to the FMC Technologies Fourth Quarter Earnings Analyst Call. My name is John, and I'll be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. And I will now turn the call over to Brad Alexander. Brad, you may begin.
Bradley Alexander: Thank you, John. Good morning, and welcome to FMC Technologies' Fourth Quarter 2013 Earnings Conference Call. Our news release and financial statements issued yesterday can be found on our website. I would like to caution you with respect to any forward-looking statements made during this call. Although these forward-looking statements are based on our current expectations, beliefs and assumptions regarding future developments and business conditions, they are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in or implied by these statements. Known material factors that could cause our actual results to differ from our projected results are described in our 10-K, 10-Q and other filings with the SEC. We wish to caution you not to place undue reliance on any forward-looking statements, which speak only as of the date hereof. We undertake no obligation to publicly update or revise any of our forward-looking statements after the date they are made, whether as a result of new information, future events or otherwise. I will now turn the call over to John Gremp, FMC Technologies' Chairman, President and CEO.
John T. Gremp: Good morning. Welcome to our fourth quarter 2013 conference call. With me today is Maryann Seaman, our CFO. I'll start with some highlights from the quarter and for the year. Maryann will provide specifics on our financial performance and our outlook for 2014 and then we'll open up the call for your questions. Regarding the results for the quarter and full year, earnings were $0.74 per diluted share for the quarter and $2.10 for the full year, an 18% increase over our prior year performance and our 12th consecutive year of earnings growth. Our operational performance in the fourth quarter was strong, especially in Subsea Technologies, where we achieved record subsea revenue, and subsea margins were 13.6% when excluding an Angolan tax adjustment that Maryann will discuss later. Record quarterly operating profit was driven primarily by year-over-year growth in our Subsea Technologies segment. We've taken actions to improve the operational efficiencies in the Eastern Region. Specifically, we've reduced our contract workforce and implemented process improvements and organizational changes over the past few months. The initial benefit of these actions contributed to our improved fourth quarter operational performance. We are now implementing a plan to reduce staff and support employees in the first quarter, and we will continue to focus on ensuring that the improved performance, as a result of these actions, is sustainable. Subsea Technologies record revenue of $1.4 billion in the quarter represented a 24% sequential and 13% year-over-year increase and drove the segment's full year revenue to $4.7 billion. Our subsea revenue has grown at a compound annual growth rate of 20% since 2010, thus reinforcing our decision to invest in capacity ahead of the growth in the subsea market. We anticipate year-over-year quarterly and full year revenue growth in 2014, although the first quarter we'll experience significant sequential decline. And we're forecasting that activity will return to higher levels in the second quarter. Subsea Technologies inbound for the fourth quarter was $1 billion and it included the recent Statoil award for the Snorre B workover system in Norway. We were awarded 6 trees in the quarter, bringing our 2013 total to 193 trees. Our full year market share for the industry tree awards is approximately 35%. Operators continue to award subsea projects in all the deepwater basins throughout the world, consistent with their strategic development of their deepwater portfolios. Our 2013 total inbound was a record $6.5 billion and includes significant year-over-year growth for both Multi Phase Meters and Schilling Robotics. As a result of our strong order performance this year, we exited the year with $6 billion in Subsea Technologies backlog. Surface Technologies fourth quarter revenue was $489 million on the strength of our international surface wellhead business. In the quarter, we inbounded a record amount of orders to our growing position in the Middle East. Our Fluid Control business has performed well in the current North American market, and this is the result of strong activity and related demand for our repair and replacement flowline equipment. Looking forward, we expect subsea revenue in 2014 to exceed $5 billion, a more modest growth rate than what we experienced over the last few years. This is due to lower backlog conversion associated with awards we received from Petrobras last year that have a multiyear delivery schedule and Total's Egina project that also has a longer delivery schedule. We expect continued subsea margin improvement, achieving full year subsea margins of 13% to 14% through improvements and execution and conversion of a better priced backlog. Turning to subsea order activity for the industry. Total tree orders will be down as Petrobras will not repeat the 2013 awards related to their multiyear pre-salt requirements. Excluding these trees, we expect awards for the industry should be equal to, if not greater, than 2013. There are a large number of projects expected in West Africa with the possibility of the industry's largest award, Kaombo, in Angola being made this year. It's also likely we'll see the first major awards from East Africa, along with year-over-year order strength coming from Asia-Pacific. The Gulf of Mexico should again be strong as a large number of newbuild, ultra-deepwater rigs enter the market and our partners, BP, Shell, Anadarko and Hess increase their activity in the Gulf. We believe we can inbound at least $5 billion in subsea awards in 2014. The large number of industry subsea awards over the last couple of years has filled backlogs and the pricing environment remains positive. When evaluating the projects that are likely to be awarded in the next few years, we don't expect this trend to change. Looking at our growth platforms, in subsea services, we expect to bring our fourth Light Well Intervention stack into the market later this year and is planned to be used in our joint venture with Suez. We further expect to expand our market reach in this growing subsea services market. Our service facility expanses [ph] in Norway and Brazil will allow us to meet growing customer demand for customer refurbishment. And the continued focus on maximizing reservoir recovery is increasing the demand for the life of field services that we have developed. In Surface Technologies, the international market should remain strong in 2014. North America looks relatively flat from an industry perspective. But with better integration of our products and services, we expect to improve our market position. We recently received a multiyear Pemex contract renewal with a potential value of $64 million, and our backlog for the Middle East and Europe is at record levels. Conversely, North America has seen flat activity over the last few years, and we believe this is likely to persist throughout the year. In the long term, we continue to view the shale plays as a growth opportunity and are taking steps to further integrate our products and services to better serve our customers in the shale markets. In summary, we delivered strong operational results this quarter. Subsea Technologies' improved execution and project mix resulted in significant sequential margin expansion in the fourth quarter. Subsea Technologies' 2014 outlook includes increased revenue and improved margins, with inbound awards that will remain at high levels coming off of our record year in 2013. Surface Technologies' outlook includes another strong year of international surface wellhead activity, and we expect to deliver our 13th consecutive year of earnings growth. Maryann will now take you through some of the financial details in the quarter and for the full year and provide a more detailed explanation of our 2014 expectations.
Maryann T. Seaman: Thanks, John. Our fourth quarter operational performance was solid. Included in our earnings in the fourth quarter is an $11.1 million charge or $0.05 per share for the increased liability associated with the earnout from our Multi Phase Meters acquisition, as performance was better than forecasted. This compares to a $17.5 million charge in the fourth quarter of 2012. This is the final quarter for the earnout associated with this transaction. This payment will be made in the second quarter. We have been very satisfied with the performance of Multi Phase Meters over the last 2 years as revenue has grown over 60% and the global opportunities to include Multi Phase Meters in subsea equipment purchases has increased. Subsea Technologies operating profit was $210 million in the fourth quarter, with an operating margin of 15.1%. This quarterly result includes $23 million of recognized revenue and operating profit associated with an adjustment for Angolan withholding taxes, which our customer is contractually obligated to pay. Excluding this from our operational results, our Subsea Technologies margin was 13.6% in the quarter, consistent with our expectations. This benefit consequently increased our tax expense by $22 million. This adjusted quarterly result is more indicative of the operational performance we expect, while at the same time recognizing that we need to effectively manage all the risks and opportunities inherent in our large portfolio. Additionally, the actions that John mentioned that we have taken to reduce cost and improve operational performance, combined with the headcount reductions that will occur in the fourth -- first quarter, should provide a more sustainable level of performance. Surface Technologies generated operating profit of $68 million with a margin of 13.9%. Operating profit increased 5% from the prior year quarter, but declined 9% sequentially. Surface wellhead sales were at record levels in the quarter but carried a less favorable margin mix than in the third quarter. Fluid Control operating income and margins were down sequentially as North America slowed due to our customer's activity. Backlog for Fluid Control has shown no improvement in 2013 due to the lack of demand for new capital equipment in the North American market. Our sales have largely been limited to repair and replacement work. Completion services activity saw only modest increases from the third quarter as Canada activity has progressed slower than anticipated. Orders for Surface Technology for the quarter were $622 million. This record level of orders is driven by our international surface wellhead business that continues to see strong activity in the Middle East and Europe. Backlog now stands at $742 million for this segment. Energy Infrastructure generated fourth quarter operating profit of $23 million, with a margin of 13.1%. Now for the corporate items. Corporate expense in the quarter was $13.1 million. Other income and expense net reflects expense of $10 million. This includes the $11.1 million charge associated with the acquisition of Multi Phase Meters, as their performance was again better than expected, but was offset by favorable foreign exchange variances and changes in the LIFO inventory costs. Our fourth quarter tax rate was 33.7%. The rate, excluding the effect of the Angolan withholding tax adjustment, was 25.6%. For the full year, our tax rate was 29.8%. Excluding that Angola tax adjustment, the annual tax rate was 26.7%. Capital spending for this quarter was $77 million, primarily directed towards Subsea Technologies infrastructure and service asset investments. For full year, our capital spending was $314 million. We repurchased 884 million shares of stock in the fourth quarter at an average price of $51.38 per share. For the full year, we repurchased approximately 2.3 million shares at an average cost of $51.57. At the end of the fourth quarter, we had net debt of $973 million. It was comprised of $399 million of cash and $1.4 billion of debt. So in summary for 2013, we earned $2.10 per diluted share on revenue of $7.1 billion and 18% year-over-year increase in earnings and a 16% increase on revenue. Subsea Technologies revenue was $4.7 billion, an increase of 18%, with adjusted margins of 11.2%. Surface Technologies revenue was $1.8 billion, an increase of 13% with margins of 14.2%. And Energy Infrastructure revenue was $617 million, an increase of 8% with margins of 12%. Looking at 2014, our earnings per share guidance for 2014 is in the range of $2.55 to $2.75, an increase between 21% and 31% year-over-year. This guidance includes an estimate of $21 million for settlement charges associated with the derisking of our defined benefit plan that we will incur primarily in the fourth quarter. In Subsea Technologies, we expect revenue to exceed $5 billion with our backlog conversion rate slowing to approximately 50% as we have a greater number of multiyear awards in our backlog. We do expect the conversion rate to increase in 2015, and subsequently, we will see revenue grow at a higher rate than 2014 as we execute backlog and grow our services business. As John mentioned, we forecast subsea awards of at least $5 billion in 2014, and this will keep our book-to-bill ratio close to 1. As we have seen in Subsea Technologies in prior years, we anticipate a sequential revenue and margin decline in the first quarter of 2014. The overall revenue decline should be very similar to what we experienced in 2013. As we typically see each year, weather affects our subsea services business and our supply chain activity decreases. The sequential revenue decline for the quarter also includes the effect of 2 of our well intervention stacks going through their 5-year recertification process. We will incur cost associated with this process, along with absorbing the fixed cost related to these stacks while they are inactive. Additionally, we'll incur severance charges in the first quarter related to the reduction of permanent employees in the Eastern Region as part of the changes we discussed. As a result, our EBIT margin performance in the first quarter will be further impacted by these actions. We anticipate these items will affect earnings in total in a range of $30 million to $35 million in the first quarter. Subsea margins should see sequential quarterly improvement beginning in the second quarter. For the full year, we anticipate margins should average 13% to 14%. Moving on to our Surface Technologies segment. In the surface well -- in surface wellhead with our large international backlog and a healthy international rig count, we expect to have another strong year of sales in North America. Rig count looks to remain relatively flat and has kept our expectations for 2014 modest. In Fluid Control, we expect our repair and replacement activity to remain healthy. We are, however, forecasting another year of minimal sales associated with fleet replacement or expansion. Overall, we estimate full year Surface Technologies margins to be stronger than 2013 on the strength of the international surface wellhead business. In Energy Infrastructure, revenue growth could approach double digits in 2014 on improved performance in our loading system and measurement solutions businesses. Margins for this segment are likely to improve over 2013. We expect a decline in both revenue and margins in the first quarter for Energy Infrastructure, with better activities in the second half of the year. Regarding corporate items, we expect corporate expense to average approximately $15 million per quarter in 2014. We expect other expense net to average $19 million per quarter in 2014, subject to foreign currency fluctuations. Included in our full year estimates is $21 million of higher pension expense associated with plans to derisk our defined benefit plan. Our fourth quarter expense will include the majority of this charge. We expect our interest expense to average $8 million per quarter. We anticipate our 2014 tax rate to range between 30% and 32% for the full year. We expect capital spending in 2014 to be approximately $400 million. The majority of our 2014 capital spending will again be directed towards subsea, including increased spending related to growth of our service offering -- service -- subsea service offerings. We are now reaching payment milestones on many of our projects, which are improving our free cash flow position. This will continue as we improve our execution on a greater number of projects. In conclusion, we expect Subsea Technologies revenue to exceed $5 billion and continue to see operating margins expand sequentially, beginning in the second quarter. With our current backlog and the expectation of at least $5 billion of inbound in 2014, Subsea Technologies revenue should see higher revenue growth rates in 2014 and continued subsea margin expansions from pricing, effective execution and improved cost structure. Our Surface Technologies business will also grow as our strong international presence should continue to deliver solid performance. Operator, you may now open up the call for questions.
Operator: [Operator Instructions] Our first question is from Doug Becker from Bank of America Merrill Lynch.
Douglas L. Becker - BofA Merrill Lynch, Research Division: I guess, as we start dissecting the subsea margins, Maryann, maybe you could give us a little reconciliation between the third quarter to the fourth quarter. What really drove the margin improvement? And what gives the confidence around sustainability?
Maryann T. Seaman: Yes, sure. So as you know, in the third quarter, we did have the benefit going forward into the fourth quarter of some of the first round of headcount reductions that we took. We were expecting our subsea services business to continue to perform well in the fourth quarter and it did. And again, our mix of our lower margin projects as we complete those improved in the fourth quarter as well. As we think about why the margins should continue to improve over the second, third and fourth quarter of next -- or excuse me, this year, and again, we are looking at sequential improvement each quarter post the first quarter. The lion's share of those lower margin projects that we've talked about are past us. We are seeing growth in the subsea services business. We will have the benefit of both rounds of headcount reductions that we have discussed previously in the Eastern Region: one that took place in September, the other that took place in December. And as John talked about, we are in the final stages of completing around permanent headcount reductions that will happen in the first quarter. So we'll get the benefit of all of those things happening, beginning really in the second quarter of 2014.
Douglas L. Becker - BofA Merrill Lynch, Research Division: So is the company in a position to exit 2014 or fourth quarter 2014 above mid-teens margins in subsea?
Maryann T. Seaman: Yes. So when we look at the margin progression, we expect by the second quarter to be in the teens and then in the back half of the year, third and fourth quarter, we'll be in the 15-ish range.
Douglas L. Becker - BofA Merrill Lynch, Research Division: Okay, makes sense. And then, John, maybe if you could just address a lot of the concerns about slowing subsea tree order growth, just your thoughts on that, just generally. But then as we think maybe a little bit longer term about the 5-year outlook, what type of levers does FMC have to really continue the growth that you've seen in the past?
John T. Gremp: Great. Thank you, Doug. With regard to the near-term industry outlook, we -- I think you have to look at it by backing out Petrobras. So there were 551 trees ordered in 2013 that came after 400-plus in 2012. So you had 2 years of back-to-back 30-plus percent increase in industry tree awards. But in 2013, 180 of those trees were for Petrobras, for 4-year requirements, so you got to take that out. When you take that out, we're estimating that the tree count for 2014, excluding Petrobras, could be in the 400 range. So you're talking about another very strong year of tree awards. And this is backed up by the number of deepwater projects, particularly in West Africa, they're scheduled to be awarded; the strength in the Gulf of Mexico and new projects in Asia-Pacific. And so they support tree awards in 2014, again excluding Petrobras, as strong, if not stronger than what we saw in the record year 2013. So that gives us confidence that in the near term, the industry tree awards will hold up pretty well. Now there's, obviously -- we know that the operators are under a lot of pressure in terms of capital allocation and improving earnings. What they're not doing though is they're looking at their large portfolio of undeveloped discoveries and they've had a lot of deepwater discovery success. And they're not backing off of that. Instead, they're looking at that portfolio, how can we improve the returns? And a lot of our conversations with our customers is not about reducing their development cost. It's how can they improve the returns and how can FMC help them. And one of the ways, of course, we can help them do that is through standardization. So that's what gives us quite a bit of confidence that looking at 2014, we're going to have another healthy year of tree inbound. Now your second question about the 5-year outlook for FTI in terms of growth, obviously, we're going to -- our plan is to hold on to our leadership position and we'll benefit by the strength going forward. But in the out-years, we'll be able to continue to grow with the implementation of our subsea growth platforms, particularly subsea processing. There's a number of subsea processing awards that should materialize in the 5-year time frame that you described. That'll add to FTI's growth. And then we're very encouraged, I mentioned this in my prepared remarks, about subsea services. We expect subsea services growth to kick in during that 5-year period. So when you look at FMC 5 years out, we're going to hold our leadership position. Even if the industry growth of unconventional equipment is relatively modest, we'll get that growth plus the growth from our new growth platforms. And that's what will sustain above-industry growth for FTI over the next 5 years.
Operator: Our next question is from Bill Sanchez from Howard Weil.
William Sanchez - Howard Weil Incorporated, Research Division: Maryann or John, just as far as reconciling the new guidance on average margins for subsea and given your answer to the question regarding first quarter, it seems like margins in subsea may be, frankly, high-single digits 1Q. And I'm guessing this severance charge that you guys are taking in the Eastern Region, is that new as it relates to our guidance outlook? And is that really the kind of the 100 basis point difference here between the guidance ranges as we think about the margin for full year '14?
Maryann T. Seaman: Bill, Maryann. So first, yes, you're right. We will look at sort of low-double digit in the first quarter and then again sequentially seeing us ramp up each quarter after that. The severance charge is in the first quarter, but it is not 100 basis points. As we talk about, we've got a lot of things that we continue to focus on as it relates to those margins, first of all, being the fact that our margins and backlog have continued to grow as we talked about. And clearly, our performance in the fourth quarter has demonstrated that as we execute properly. But the other impact occurring in the first quarter is we now have 2 stacks that are going through their 5-year certification. You may remember we had one stack first quarter of last year. So all of the costs associated with that and there'll be added service essentially for the lion's share of the quarter. And that's what causes really -- we have a slower seasonal impact from the services business and then those 2 units down for the better part of the quarter.
William Sanchez - Howard Weil Incorporated, Research Division: So Maryann, just so I'm clear, so if we think about the 14% to 15% average subsea margin for '14 that you guys had thought prior to this call and the 13% to 14%, the 2 differences are the severance charges and this -- the higher well intervention cost that we're going to incur in 1Q?
Maryann T. Seaman: Yes, Bill, we certainly knew we had well intervention costs in our forecast. We are about 2 quarters behind, if you will, as you know, in the third quarter. And we did really well as we expected in the fourth quarter. And we think we're going to be able to continue to maintain that level of performance, and again, improve based on our performance in that quarter. So as you talk about 14% to 15% versus sort of the 13% to 14% we're guiding now, we obviously feel very confident in that 13% to 14%, given where we have been, given the actions that we have taken, both in September, December, and those that we will take in the first quarter, along with the good margins and backlog and our execution improvement.
John T. Gremp: Bill, this is John. Let me add, and Maryann made a point, but I think it's very important, we are delighted that we saw margin and backlog grow again in the fourth quarter. The margins and backlog easily support subsea margins going forward in the mid-teens in the 15% plus range. Our issue is about -- in addition to the severance charges -- our issue is around our ability to execute. We're pleased that we -- the actions that we took after the third quarter resulted in improved execution. That wasn't perfect execution but it was in the range that we expect. What we're working hard at is making sure that execution performance is sustainable. And it just seems reasonable that we not get too far ahead of ourselves in terms of the pace of execution improvement going forward. We're very confident -- actually after the steps that we took in the fourth quarter, we're even more confident that we're going to be able to get these execution improvements on a sustainable [ph] -- although it just made sense that we not get too ahead of ourselves in terms of the pace at which we make these execution improvements, and particularly, in light that we'll be operating at a level we've never operated before.
William Sanchez - Howard Weil Incorporated, Research Division: Sure. And just one follow-up. Maryann, you offered up, I guess, just generalities around '15 subsea top line. You talked specifically about conversion this year out of backlog being 50%. I think that historically is right around 60% for the company. What do we think about it in '15? I mean, do we split the difference between the 2? Or can we see conversion from backlog be as high as 60% in '15?
Maryann T. Seaman: Yes. Bill, tough question sitting here today. It will all depend on sort of how that backlog comes in. But we would expect to see it move closer to where we have been in the past to the 60%. As you know, what's causing the 50% kind of conversion rate now is the large pre-salt tree award and the manifold award, as well as the long tail on Egina. So we would expect to progress closer to the 60%. Sitting here today, a little bit difficult for me to project not knowing exactly how the inbound is going to come in. But we would expect to be well above 50% in 2015.
Operator: Our next question is from Thomas Curran from FBR Capital.
Thomas Curran - FBR Capital Markets & Co., Research Division: Maybe shifting gears, first, to the surface side. Could you share some of the key assumptions for surface in North America at the low and high end for that division of your guidance?
John T. Gremp: Well, first, Tom, we're assuming that surface North America activity is essentially going to be flat. So the improvement is largely going to come from our international business, which where we -- as I mentioned in my remarks, is a record backlog. I'll let Maryann talk about the range in surface, what would drive either end of that. But basically, for North America, we're assuming the market is largely flat.
Maryann T. Seaman: Yes, so as I mentioned in my comments, we clearly expect to see full year average Surface Technologies margins exceed where they were in 2013. So we're in the range of 14.2% full year. We would expect, based on the strength of the international segment, to see growth over this year. We'll see that a little more back-end loaded than it is front-end loaded, but we expect to see improvement in the first half versus the back half -- in the first half of 2014 versus the back half of 2013. Okay?
Thomas Curran - FBR Capital Markets & Co., Research Division: Okay. And just so I'm clear though, when you say the expectation for -- on toward [ph] the market is flat, do you mean in terms of demand on an average annual basis or from here forward, from end of 2013 forward?
Maryann T. Seaman: No, we would expect to see improvement in the back half.
Thomas Curran - FBR Capital Markets & Co., Research Division: Okay, I got you. So that is for North America, okay. Turning back to subsea, John, how would you expect the award flow to come in over the course of 2014? You've spoken to that previously in your annual outlook. Some years, it's been evenly distributed; others, it's been heavily front or back-end loaded. What would you expect for 2014?
John T. Gremp: I'd say it's more even. For the whole industry, the big -- the largest subsea award ever is Total's Kaombo project. And that could move all over the place. So wherever that lands will drive the whole industry. But looking at FMC's inbound and our projections, I would say it's more even. A lot of our inbound, I referenced the $5-plus billion, let's talk about where that will come from. It'll come, first and foremost, from our partners. These are projects that we know that we're going ahead. We know that we're going to participate, and they're pretty evenly distributed throughout the year. Second is from subsea services, which we expect to continue to grow. That's evenly distributed except for the first quarter. Other than the first quarter, its pretty evenly distributed throughout the year. And then the balance of the inbound will come from targeted projects that are being tendered. And I think even those are fairly evenly distributed. So not front end, not back end, probably a little bit more evenly distributed. But for the industry, depends on some of these, the timing of the big West Africa projects.
Thomas Curran - FBR Capital Markets & Co., Research Division: All right. And then on the subsea processing front, how about an update on 3 topics, Marlim, the expected subsea processing award slate for this year and then the latest on bids outstanding for the helico-axial multiphase pump?
John T. Gremp: Okay. With regard to Marlim, essentially, no charge. Marlim continues to perform as expected, no issue there. I think the issue is really just Petrobras which I don't have a lot of insights in. But it must be very complex for them. They've got to evaluate how to apply this technology. They've got -- I'm sure they have issues over their priorities for capital allocation, and it's just taking a long time, obviously, for them to complete their evaluations to how they want to apply this new technology. There's no question that they need it in order to boost production in their legacy fields. But really, no change from what we reported before. It's -- still under evaluation by Petrobras. Regarding the subsea processing award outlook for 2014, there's about 9 projects that are named. Not all of those projects are equipment projects, about 5 or 6 are equipment projects. And we expect at least some, if not all, of those to go ahead. Most of them are boosting. And then for FMC and our helico-axial pump, we have one tender outstanding and there'll be more opportunities in 2014 on the projects that I referenced for us to -- which we fully expect to be qualified to participate in additional tenders in 2014.
Operator: Our next question is from Robin Shoemaker from Citigroup.
Robin E. Shoemaker - Citigroup Inc, Research Division: John, I wanted to ask here again about the $5 billion of revenue this year and you indicated 50% outflow backlog. So with $3 billion coming out of backlog, $2 billion roughly from customer support book and turn type of activity. So is there anything that you could comment on there in terms of the trends that you see in customer support book and turn? Is there any notable upturn or anything that's changed about that part of your revenue stream?
John T. Gremp: Well, first of all, Robin, the $3 billion out of backlog, that's right. We normally look at subsea services as about $1.5 billion and then about $0.5 billion come from book and turn equipment, not services, and that's sort of been our historical amount. So back to your question, the $1.5 billion of subsea services, each year, that has grown, which you'd expect it to grow because there's more installation and so forth. And with our 3 intervention stacks fully utilized other than the first quarter when they'll be down for this recertification, all that, at least historically, has been contributing to year-over-year growth in subsea service. And that's the $1.5 billion, represents some growth from where we were in 2013. And I'm sure there's -- we'd -- well, I'm not sure. I know that, that number will continue to grow year-over-year, not only as the installed base and the normal growth in installation services. But as we continue to offer new services to our Light Well Intervention stacks and other services that we're offering, that number is going to continue to grow and it will grow faster than the equipment growth.
Robin E. Shoemaker - Citigroup Inc, Research Division: Okay. I see. Okay. My other question then about -- you mentioned in earlier some of what you're hearing from your customers who -- your frame agreement, alliance partners, some of whom have issued comments here lately about scaling back of CapEx and lowering production targets in order to improve returns. And you commented that you didn't see too much impact on subsea. Is there any part of your business in the -- in this, either in surface or Energy Infrastructure where you expect to see some of the impact of that?
John T. Gremp: No, we haven't seen any impact in the non-businesses [ph]. I wanted to be clear though on the subsea side. There's no question that the operators are under pressure, and we're seeing the impact of it. The impact though is not so much dramatic reductions in CapEx as it is attempts to work -- change their approach with regard to their development plans so they can improve their returns. That's the focus that we're seeing from the operators. I don't want to leave you with the impression that we're not seeing any impact. We're seeing an impact, it's just that it's manifesting itself in the operators reaching out to us to help them improve their returns and one of the best ways to do that is to move towards more standards where you can -- we can improve the first oil date, you can reduce cost. So that's the reaction that we're getting. But they're under -- clearly, they're under pressure to have more discipline on returns and capital allocation.
Robin E. Shoemaker - Citigroup Inc, Research Division: Well, just on that point, does it -- do you think it impacts their appetite for frontier kind of technologies, including some of the more ambitious aspects of subsea processing, that, that might be a lesser priority now?
John T. Gremp: I haven't seen any evidence of that. I mean, you can argue just the opposite that it's this new technology that can boost reservoir recovery rates. So I mean, if you just look at it economically, I mean, you're going to get better returns if you can improve your reservoir recovery. And that's exactly what subsea processing and some of this intervention technology does. So it should work just the opposite, that they would be more interested in implementing this new technology because it improves their returns and reduces their CapEx. So I'm not sure that it doesn't drive them more towards implementing this new technology.
Operator: Our next question is from Brad Handler from Jefferies.
Brad Handler - Jefferies LLC, Research Division: I guess I wasn't necessarily going to ask this, but just to follow on with Robin's line of questioning and your thoughts. Are there some timing implications though if your customers are reaching out to try to do something different? It's easy for us to conclude that there might be a longer digestion, a longer processing time if they are thinking along different lines, your customers.
John T. Gremp: Yes, and we've seen some examples of that. Mad Dog is a good example of that. We expected Mad Dog inbound early 2013. And BP had to rework their plans and now we believe Mad Dog could be awarded in 2014. And so yes, I think that's reasonable to assume there would be some delays. But it hasn't been wholesale. I mean, there's been more awards happen and I think Total Kaombo was a good example. Here's a very large award that by West Africa standards is moving at a pretty normal clip. So I think there have been those exceptions of timing delays as these alternatives are reworked, but it hasn't been a wholesale delay in projects that I've seen so far.
Brad Handler - Jefferies LLC, Research Division: Okay, all right, fair enough. If I may now turn just to a couple of other questions, which I was going to hit on away from subsea actually. Maybe Maryann, could you help us understand the negative mix in the fourth quarter in surface and international that you mentioned? And how do you calibrate the issue -- with that, how that recurs, if that recurs?
Maryann T. Seaman: Yes, sure. So as we look to kind of the fourth quarter performance, we saw slowing, clearly, in North America really by customer activities. As we look out over the forecast in the next couple of quarters, the international market, as I mentioned, is continuing to grow. And we certainly are not anticipating a repeat of that. The repair and replacement business has been strong, and we certainly expect to see that continue over the next couple of quarters. So it was really a mix issue in our business in the fourth quarter. We don't expect it to repeat as I mentioned, so -- and we are expecting kind of that first half of 2014 to look better than the back half of 2013.
Brad Handler - Jefferies LLC, Research Division: Oh, I think I -- maybe I misunderstood. So just in other words, I thought it was a negative mix shift within the international wellhead segment, but you -- that's not what you're saying. You're saying it was negative in North America looking forward.
Maryann T. Seaman: No, no, no. It was our North America business, our North America surface wellhead and Fluid Control.
Brad Handler - Jefferies LLC, Research Division: I see, I see. And just very quickly, I noticed your tax rate guidance is, I think, pretty meaningfully above where it has been. Is there something driving that? And is that -- is something north of 30% what we might think of as the new norm?
Maryann T. Seaman: Well, for 2014, as we look at our earnings mix, we've got a different mix of earnings that we had in 2013. You may remember us also talking about, in 2013 we were receiving the benefit of some work that we were doing with respect to restructuring in our European region. And there's been some tax law changes. So we'll lose a little bit of that benefit, but it's largely mix-driven this year. We've got quite a bit of revenue coming through from Egina, which is Nigeria. So our mix looks different this year than it did in 2013.
Brad Handler - Jefferies LLC, Research Division: Got you. And I guess, just going forward, if the Gulf of Mexico starts to become a bit larger, I suppose that might push you to a little bit of a higher mix again, higher tax rate mix again?
Maryann T. Seaman: That's correct. And we are expecting that mix to be greater in 2014 than we have seen in '13. So you're absolutely correct, Brad.
Operator: Our next question is from Kurt Hallead from RBC Capital Markets.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: The question I have, I just wanted to get a little bit more clarity on the dynamic around the guidance for 2014 because I think if you strip out the pension and the severance from -- I think your pension and severance are included in that $2.55 to $2.75 guidance. Do I understand that correctly?
Maryann T. Seaman: You understand that correctly, Kurt. Both the pension and the severance charge is included in the $2.55 to $2.75, correct.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: Okay. So if we wanted to just focus on the operational dynamics of what's going on at FMC, Maryann, and you took the pension and that severance out of the equation, what would that equate to in terms of the guidance range?
Maryann T. Seaman: Yes, that's roughly $0.08 to $0.09 between the pension charge and the severance charge in total.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: Okay, okay, great. And then the -- I'm sorry?
Maryann T. Seaman: Oh, no, it's okay. I was just going to say when we think about that, just for the sake of clarity, we will incur the severance cost largely in the first quarter. The lion's share or the majority of that pension expense will be in the fourth quarter, just as you're trying to calibrate that.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: Right, okay, great. And then John, you mentioned about $1.5 billion in aftermarket -- service/aftermarket, I guess, is how we would phrase it and then another $500 million in book and turn. Is that the -- was that the numbers for 2013? Or is that kind of a run rate you would expect to achieve in 2014?
John T. Gremp: The $1.5 billion in aftermarket or services is higher than what we had in 2013, but it's one we should expect because our activity levels are higher so we would expect that to grow and it is higher, the $1.5 billion that I mentioned. And the book and turn is just a little bit higher than what we normally see and what we saw in 2013.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: Okay, okay. And then the, I guess, the other follow-up I would have for -- is on the surface side. I know Maryann, you said that 2014 would be higher than 2013. If I happen to recall correctly, I think the prior guidance for surface margins in 2014, I think, was -- wasn't it around 15% to 16% or something like that? So how do we calibrate the higher than '14 relative to maybe that 15% to 16% range provided in the past?
Maryann T. Seaman: So you have a good memory, Kurt. Yes, you're correct. That is a reasonable range to think about for Surface Technologies for 2014.
Kurt Hallead - RBC Capital Markets, LLC, Research Division: So that hasn't changed, your guide point on surface margin then really hasn't changed?
Maryann T. Seaman: That's correct.
Operator: Our next question is from Jim Wicklund from Crédit Suisse.
James Knowlton Wicklund - Crédit Suisse AG, Research Division: You guys have always been terribly efficient in most everything that you do, and so having headcount reductions in September, December and again, now, is this related to the completion of CLOV and Laggan? Is this a result of projects being over? Or is this just an efficiency push to make the Eastern Region more streamlined?
John T. Gremp: Jim, it's the latter. This is, I mentioned in my prepared remarks, it's staff and support. We're not taking anybody out that we need for capacity, for project load. We're -- this is a leaning out of the organization and so it's staff and support to make it more efficient.
James Knowlton Wicklund - Crédit Suisse AG, Research Division: Do we have a number on the headcount, an approximation about how many people?
John T. Gremp: Well, we haven't really given much of one -- the entire reductions, including the ones we took last year and the ones we intend to take in the first quarter, is something less than 10% for the entire region. So order of magnitude, it's something like that.
James Knowlton Wicklund - Crédit Suisse AG, Research Division: Perfect. And CLOV and Laggan, can you give us an update? Are they done now?
John T. Gremp: Yes, Laggan-Tormore is -- all the equipment is completely shipped. It's just some [indiscernible] Documentation that's done. And CLOV is mostly -- almost done. I think it's in the high 80% just complete. The only thing that remains is the final assembly and test in Angola. So almost done -- completely done in Laggan-Tormore, almost done on CLOV.
James Knowlton Wicklund - Crédit Suisse AG, Research Division: Congratulations on those. Maryann, let me ask you a question, if I could. Your subsea intervention stack, could you give us an approximation as to what one of those stacks generates in terms of revenues for a year for you guys? I know they're JVs, but how much revenue it generates for you a year?
Maryann T. Seaman: So let me try this, Jim. We -- the 3 stacks that we have operating now are actually operating through the Eastern Region. We don't have a stack operating through the JV as of yet, so just to be specific when we talk about the addition [ph] of JV. Yes, no, no, it's okay. So those 3 stacks have been operating in the Eastern Region, actually one started back in 2006. And we have not quantified the amount of revenue associated with those. To kind of calibrate for you, the impact in the first quarter, I talked about it in the range of $30 million to $35 million. That included the cost of the recertification for the stack, if you will, and then covering all the cost, i.e. the loss margin, as well as the restructuring. And I'll tell you the lion's share of that, I think 2/3, if you will, of that estimate is really focused on the impact from those 2 intervention stacks being down, if that helps you.
Operator: Our next question is from Marshall Adkins from Raymond James.
J. Marshall Adkins - Raymond James & Associates, Inc., Research Division: Maryann, could you give us a little more color on the Angola accounting issue? And it sounded a little like that may happen again in the future. Is that not right?
Maryann T. Seaman: Sure, happy to do that for you. So as it relates to this particular issue, we do not have an obligation to pay the tax. The obligation is actually the customer's. So this $23 million is actually really a catch-up for services against all of the prior, not all, but the majority of the prior revenues on a particular contract. So it is part of the new Angolan law. And yes, it is possible that going forward, we would have a similar situation. But if the law is applied correctly, then obviously we would be obligated to pay the tax. In this particular situation, we are not, so that's why you see the benefit, if you will, in the segment and then it is offset in the tax piece. Right now, we do not have a good estimate in terms of our full year forecast as to how that might shake out depending on how other customers might go forward with that. But yes, there is clearly possibility that we will see charges going forward. It would, obviously, not be of that magnitude given that, that particular -- this particular issue was a catch-up, if you will.
J. Marshall Adkins - Raymond James & Associates, Inc., Research Division: Right, okay, that's helpful. John, one I have for you is on the pump quarters. Are you seeing any light at the end of the tunnel there for the fracturing side? Or is it mostly just kind of Chiksan replacement parts and stuff like that?
John T. Gremp: Well, I would say no light at the end of the tunnel, but no, we have not seen any capital equipment orders. I think the pressure pumpers are not -- they're going to be loathe to say that they're increasing their fleet. So I don't think you're going to get that indication. Even if we do get some CapEx orders, it's probably not going to get advertised. And so...
J. Marshall Adkins - Raymond James & Associates, Inc., Research Division: That's my question.
John T. Gremp: Yes, so what we're -- yes, we're not seeing any CapEx requirements, and we're not planning for any CapEx requirements in 2014. Having said that, the replacement parts, particularly with the increase in frac stages and well counts and that kind of stuff, has held up pretty good, all things considered. But no, we're not counting on any capital. Eventually, this stuff wears out and they'll have to order some CapEx, but it's not in our 2014 plans.
J. Marshall Adkins - Raymond James & Associates, Inc., Research Division: But I was thinking the Chiksan business ought to be pretty healthy and probably steady-state from here, maybe even improving just because it is kind of a replacement cycle part, right?
John T. Gremp: Right.
Operator: Our next question is from Waqar Syed from Goldman Sachs.
Waqar Syed - Goldman Sachs Group Inc., Research Division: On the certification question, could you -- did you say that it's a 5-year certification requirement for the intervention stacks?
John T. Gremp: Yes, and 2 of our stacks will be recertified in the first quarter.
Waqar Syed - Goldman Sachs Group Inc., Research Division: Now, is it an annual requirement as well, that we may see every year some downtime on them and some cost issues associated? No? Okay.
John T. Gremp: No. As part of the recertification, there's always a risk of downtime although our equipment has had extremely good uptime in the years we've been running it. But no certification other than the 5 years.
Waqar Syed - Goldman Sachs Group Inc., Research Division: Okay, great. And then I know we can do it ourselves, too, but just if you could provide guidance on what will be the margin guidance for subsea if we had excluded severance from that.
Maryann T. Seaman: We have not called out specifically the total amount of severance. So when we think about the $30 million to $35 million that I'm talking about in the first quarter, as I mentioned earlier, about 2/3 of that really is associated with the stack, okay?
Waqar Syed - Goldman Sachs Group Inc., Research Division: Yes, okay. And then just on Canada, what's the outlook for the year as a whole? Do you see some improvement coming in there?
John T. Gremp: Yes, our fourth quarter performance in Canada, well actually for the whole year, was pretty weak. So we've got some improvement baked in for Canada in 2014.
Operator: Our next question is from Scott Gruber from Bernstein.
Scott Gruber - Sanford C. Bernstein & Co., LLC., Research Division: All my questions have been answered.
Operator: And our final question is from Brandon Dobell from William Blair.
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: Just a clarification on your comment about the tree orders in '14 and then '15. The big West Africa projects, how much could that move around, I guess, the pacing of inbound orders through the year? You kind of said maybe evenly split across the year. Just trying to get a feel for if that evenly split includes some assumption about some of these bigger orders or if that is kind of outside of that commentary.
John T. Gremp: Yes, the even distribution of ours, I was talking more about the ones FMC is focused on. In terms of the industry, the big one out there is Total's Kaombo project, 66 trees. Right now, when you look at the pace of the tender, it can very well be awarded this year. And it's probably just because it's West Africa, we ought to assume that it's towards the back half of the year. So that's the big one. But if it moves out, if it were to move out in 2014, would have a material effect on the total awards driven. But there's a couple of other West Africa projects, Eni 15/06, ENI's project in Ghana. These are big West Africa projects that are likely to be in the second half of the year. And those will be the ones, if they moved out, would have a pretty big impact on the industry's award total for '14.
Operator: And I'll turn it back over to you, Brad, for any final remarks.
Bradley Alexander: This concludes our fourth quarter conference call. A replay of our call will be available on our website beginning at approximately 2:00 p.m. Eastern Time today. We will conduct our first quarter 2014 conference call on April 23 at 9:00 a.m. Eastern Time. If you have any further questions, please feel free to contact me. Thank you for joining us. John, you may end this call.
Operator: Thank you. Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.